Operator: Greetings, and welcome to the Ribbon Communications First Quarter 2025 Financial Results Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions]. As a reminder, this conference is being recorded. I would now like to turn the conference over to your host, Joni Roberts, Chief Marketing Officer. Please go ahead.
Joni Roberts: Good afternoon, and welcome to Ribbon's first quarter 2025 financial results conference call. I'm Joni Roberts, Chief Marketing Officer at Ribbon Communications. Also, on the call today, Bruce McClelland, Ribbon's Chief Executive Officer; and John Townsend, Ribbon's Chief Financial Officer. Today's call is being webcast live and will be archived on our Investor Relations section of our website, rbbn.com, where both the press release and supplemental slides are currently available. Certain matters we'll be discussing today, including the business outlook and financial projections for second quarter 2025 and beyond are forward-looking statements. Such statements are subject to the risks and uncertainty that could cause actual results to differ materially from those contained in these forward-looking statements. These risks and uncertainties are discussed in our documents filed with the SEC, including our most recent Form 10-K. I refer you to our Safe Harbor statement, included in the supplemental financial information posted on our website. In addition, we'll present non-GAAP financial information on this call. Reconciliations to the applicable GAAP measure are included in the earnings press release we issued earlier today as well as supplemental financial information we prepared for this conference call, which again both are available on Investor Relations section of our website. And now, I'd like to turn it over to Bruce. Bruce?
Bruce McClelland: Great. Thanks, Joni. Good afternoon, everyone, and thanks for joining us today to discuss our outlook for 2025 and our first quarter results. Building on the momentum from last year, we continue to see very good demand as both service providers and enterprises invest in modernizing their voice and data networks. In particular, the momentum in our Cloud & Edge business continues to build and is now a growth engine for the company. Contrasting with the market perspective on this business several years ago, our portfolio is the best in the industry and supports a broad number of use cases including carrier grade telco voice services, enterprise unified communications, large scale contact centers and resilient secure defense command and control. The industry focus on eliminating legacy copper networks and adoption of cloud technologies that can be deployed on-premise or in the cloud is a great tailwind for our business for years to come. As with many companies, we expect AI to be a growing opportunity for us and have two projects directly tied to increasing AI deployments. The first is a new nationwide fiber network being built in the Philippines to significantly add capacity to keep up with the growing demand and data center expansion. And the second is a Fortune 500 company leveraging AI in unique ways to enhance their contact center effectiveness. A great leading indicator of our continued momentum is the growth in our backlog, up 35% from the same point last year. Book-to-bill in the first quarter was 1.2x and we continue to expect a strong first half with sales projected to grow 5% to 8% year-over-year. All the more impressive as we overcome the difficult compared first half of 2024 after suspending shipments in Eastern Europe midway through last year. In fact, our IP Optical business excluding Eastern Europe grew by 25% in the first quarter, so the demand picture remains strong and we continue to expect good growth this year. Sales in the first quarter were flat year-over-year and lower than expected, but was entirely related to the timing of two enterprise projects, one with the U.S. federal agency and one with a critical infrastructure customer in the U.S. We've already received orders for the vast majority of the shortfall and much has now been shipped and recognized in the second quarter. Business with service providers was robust in the first quarter with sales increasing more than 10% year-over-year with significantly higher sales in the U.S. and in India. And if you adjust for the significant reduction of sales due to suspension of shipments to Eastern Europe last year, service provider sales increased more than 30% year-over-year in the first quarter. Margins in the first quarter were lower than we projected, primarily due to the mix of shipments and the lower sales volume. Our sales in India were particularly strong in our IP Optical segment, reducing the overall gross margin. The mix of Cloud & Edge sales in the quarter were more concentrated in hardware products and higher professional services revenue, both of which contribute a lower gross margin than our software products. In the second quarter, we have stronger mix of software and better regional profile that we expect will improve consolidated gross margins by more than 400 basis points sequentially. The lower sales and margin contributed to a reduction in adjusted EBITDA year-over-year, which again we expect to largely catch up in the second quarter. Now a little more detail on each of our operating segments. We had a good quarter in our Cloud & Edge segment with sales growing approximately 6% year-over-year. Excluding maintenance revenue, product and services sales increased approximately 17% year-over-year. Adjusted EBITDA for the segment increased 17% year-over-year on higher sales and continued improvement in operating expenses. Sales to global service providers were the primary driver behind the year-over-year growth with total Cloud & Edge revenue increasing approximately 20% year-over-year. Large voice network transformation projects were once again the main catalyst behind the good momentum this quarter. As expected, total Cloud & Edge sales to Verizon increased significantly and were up approximately 50% year-over-year. As we continue to make very good progress on our multi-year project to decommission and replace legacy switching equipment in hundreds of Central's offices. The pace of installation and migrations is typically slower in the first quarter of the year and we're now back at the same level as we were in the fourth quarter and expect to accelerate further as the year progresses. Cloud & Edge sales to all other service providers also increased approximately 10% year-over-year, highlighting the broad base of interest in network modernization and improving efficiency. Cloud & Edge sales to enterprise customers were down approximately 23% year-over-year, largely due to the timing of U.S. federal shipments I mentioned earlier. We've already shipped and recognized revenue on the remaining portion of these orders we received late in Q1. We're expecting a strong second quarter with several U.S. federal agencies, including an initial phase of a project with a new DoD agency. While we're seeing elongated decision making due to the additional scrutiny on spending in the government, the voice modernization projects have a very clear ROI and significant reduction in operating expenses. So we expect these investments to remain a high priority as reflected in the 150% growth we experienced in 2024. Overall, Cloud & Edge gross margin was below our expectations in the quarter due to a higher mix of hardware shipments. This included a significant number of media gateways to support the replacement of legacy TDM switches and a higher demand for enterprise edge gateways. We expect a rebound in gross margin in the second quarter to the more typical mid-60s for the segment with a higher mix of software and continued improved services margins. In our IP Optical segment, sales in the first quarter were down approximately 6% year-over-year. This continues to be a tough comparison due to the suspension of shipments to Eastern Europe beginning partway through the second quarter last year. This accounted entirely for the drop year-over-year. We remain hopeful there's a path to resolution of the conflict in the region and a resumption of trade. Asia-PAC was once again the highlight of the quarter for our IP Optical business. Sales in India increased 80% year-over-year and were up 6% sequentially to the highest level in the last five years. We continue to have a strong business with Bardi and benefited from the renewed network investment being made by Vodafone Idea to expand mobile network capacity and coverage. Sales in Southeast Asia were also very strong and increased over 200% year-over-year with multiple new projects across the region. As an example, we announced a great project win with our customer Converge ICT in the Philippines to build a new nationwide fiber backbone supporting customers such as Starlink as they grow their presence in the region and add significant capacity for expanding data center traffic. We also announced a new subsea cable project with Moratel in Indonesia as they add 20 terabits of new capacity to the islands using our latest Apollo transport platform and Muse Automation management system. We continue to see new opportunities across this region partially due to vendor consolidation as well as the need to build networks that have no Chinese OEM equipment. Sales in North America were also very solid in the quarter, more than doubling year-over-year. This included a nice mix of rural broadband projects, growth in critical infrastructure with providers such as AEP and major service providers such as Brightspeed. Gross margins for the segment were impacted due to the regional mix of higher sales in Asia-PAC and lower sales in the EMEA region. We also had several projects where the initial shipments of optical line equipment and low cost access routers weighed on margins. We expect a sizable improvement in gross margins in the second quarter and substantially lower EBITDA loss for this segment. With that, I'll turn it over to John to provide additional financial details on our first quarter results and then come back on to discuss outlook for the second quarter. John?
John Townsend: Thanks, Bruce. Good afternoon, everyone. Let's begin with financial results at the consolidated level. In the first quarter of 2025, Ribbon generated revenues of $181 million, an increase of 1% from the prior year. First quarter non-GAAP gross margin was 48.6% lower than expected due to higher sales in India and higher Cloud & Edge hardware shipments that Bruce mentioned. Non-GAAP operating expenses were $86 million in the quarter, a $5 million reduction versus the first quarter of 2024, and down $8 million sequentially. This reflects the seasonality in expenses such as sales commissions and variable employee compensation as well as the benefit related cost actions implemented in 2024. First quarter adjusted EBITDA was $6 million, a decrease of $6 million year-over-year. This was driven by the tighter margins we experienced across both segments due to the product mix and noticeably the regional mix in the IP Optical segment. Our non-GAAP tax rate for the quarter was 32% and our interest expense was $11 million, including amortization of debt issuance costs. Both of these were in line with our expectations. Quarterly non-GAAP net loss was $5 million, compared to a $1 million loss in the prior year. This generated a non-GAAP diluted loss per share of $0.03, which compares to a $0.01 per share loss in the prior year. Our basic share count was 176 million shares and our fully diluted share count was 180 million shares for the quarter. Now let's look at the results of our two business segments. Our Cloud & Edge business had revenues in the first quarter of $108 million, an increase of 6% year-over-year, with product and professional services revenue increasing 17% year-over-year. Cloud & Edge non-GAAP gross margins were 62.5%, down 350 basis points from the prior year. The reduction is a results of higher professional services and hardware revenue and lower software sales compared to the prior year. Adjusted EBITDA was $20 million or 19% of revenue in the quarter, a 17% improvement year-over-year. Now onto our IP Optical Networks results recorded first quarter revenue of $74 million, a 6% decrease versus the prior year. Excluding Eastern Europe, sales in the segment were actually up 25% year-over-year. First quarter non-GAAP gross margin for IP Optical was 28%, which is below our expectations. As Bruce noted, the higher sales in India impacted the overall gross margin for the segment and were further compounded by the unfavorable mix of products this quarter. IP Optical Networks adjusted EBITDA was a loss of $15 million versus a $6 million loss in the prior year, again mostly driven by the regional mix of revenues. As Bruce mentioned earlier, we expect significant improvement in the second quarter and continuing throughout the year with increased sales in North America and Europe and improved product mix. Moving on to cash and capital expenditure. Cash from operations with a usage of $4 million in the quarter with a closing cash balance of $74 million versus $90 million at the end of 2024. The reduction in cash was primarily a result of annual employee incentive compensation payments and the completion of the build-out of our new R&D facility in Israel, which drove the higher capital expenditure. Total CapEx in the quarter was $12 million. Excluding the R&D facility, we expect our full year capital expenditures to be consistent with prior years in the $12 million to $13 million range. Our net debt leverage at the end of the quarter was 2.4x up slightly sequentially. And now, I'll turn the call back to Bruce.
Bruce McClelland: Great. Thanks, John. Following the last several quarters of strong bookings, our outlook and visibility for the second quarter is very good with substantially higher backlog than in previous years even as we continue to optimize expenses. In our Cloud & Edge segment, we're projecting approximately 20% sales growth in the second quarter year-over-year. Key trends underpinning this increase include the following areas. First, we expect another very good quarter with Verizon, similar to our record level in fourth quarter last year, as the voice network modernization program continues to perform well and other network upgrades continue. We're in the first year of this three year program with significant opportunity for multiple years beyond this, as well as a large potential opportunity as Verizon completes their acquisition of Frontier. Second, in addition to the deals delayed from Q1, we have a very good funnel of U.S. federal network modernization opportunities with several sizable deals expected to close this quarter that include both expansion of current projects and new project wins. Despite some delays in decision making, these programs look very solid for the quarter. Third, we're projecting several new enterprise wins in the quarter; including the Fortune 500 customer I mentioned that's at the forefront of leveraging AI to enhance contact center effectiveness. Another obvious area of focus for us is related to Metaswitch replacement opportunities, with a primary focus around the top 25% larger installed base. In the first quarter, we closed new replacement deals in the UK and in the U.S. serving both residential and commercial customers. Similarly, we also had a very nice win and award with a Tier 1 provider in Central America to replace a high profile Cisco, Broadsoft government services deployment. So I'm pleased with the progress we're making to grow our share in multiple markets. In the IP Optical segment, we're projecting 5% to 10% sequential growth in the second quarter, which would result in revenues similar to the second quarter last year, which still included a partial quarter of sales to Eastern Europe. The key trends in this business include the following areas. We expect continued momentum in Asia with strong sales in India and South East Asia similar to the last several quarters but with a better mix from a margin perspective. Bardi, Vodafone Idea, Tata and others continue to expand network capacity and we see additional opportunities related to expansion of rural Internet access and data center interconnect. We have a lot of activity in Europe and in the Middle East with both critical infrastructure and defense agency projects expanding secure command and control networks. We also have very good momentum with customers like MTN in Africa where there's a lack of fiber infrastructure and significant projects underway to improve connectivity across the continent. And finally, we expect a stronger quarter in North America with both critical infrastructure and regional service providers. Longer-term innovation and new product development is the key to our future growth. We have several important areas in focus for this year, including enhancements to our routing platforms to support an expanding set of TDM elimination use cases. This has become a great entry point for us in the U.S. market in an area where we're proving to be very differentiated and highly synergistic with our Cloud & Edge voice portfolio. We're also investing in additional routing platforms and features to support the growing trend of IP directly over optical networks. We have a great example of this with a significant new IP over DWDM win in Africa to support data center expansion. We recently launched our latest new routing platform at Mobile World Congress, the NPT 2714 that is a metro core router supporting up to 14 terabit per second traffic levels. At the OFC optical show last month, we received the Lightwave Innovation Award for the platform and are seeing increased customer interest. And finally, automation has become table stakes for managing complex networks and for improving the delivery of new capabilities. For the Cloud & Edge portfolio, this means adoption of cloud native technologies and processes, which is the key focus behind the project I mentioned last quarter with the Tier 1 service provider in Europe. As we indicated earlier, we're expecting improved margins for both segments in the second quarter. The first quarter was unusually low given the customer and product mix, and the mix for the second quarter is expected to be much better. There remains a lot of uncertainty on where U.S. tariffs will settle and any reciprocal trade barriers that may be implemented. At the current time, we're not expecting a material impact on our business, but it's a dynamic situation. We have some agility to change the manufacturing location for our -- the optical products, and we benefit from the USMCA Free Trade Agreement for the Cloud & Edge products we currently manufacture in Mexico. We're working closely with our manufacturing partners to anticipate multiple scenarios and react quickly and hope to minimize the cost impact passed on to our customers. Also, given the substantial amount of revenue that is tied to software and services, we believe we're relatively immune at a more macro level. Now on to guidance. As already mentioned, we expect a strong second quarter with sales growing more than 10% year-over-year as we complete enterprise deals delayed from Q1 and the continued momentum in our Cloud & Edge business. Based on the assumptions I've outlined, we're projecting revenue in a range of $110 million to $220 million a year-over-year increase of approximately 12% at the midpoint. And adjusted EBITDA in a range of $28 million to $32 million a year-over-year increase of 38% at the midpoint. We remain positive on our outlook for the remainder of the year and continue to maintain our full year outlook. Operator, that concludes our prepared remarks and we can now take a few questions.
Operator: Thank you. [Operator Instructions]. And the first question comes from the line of Dave Kang with B. Riley Securities. Please proceed.
Dave Kang: Yes. Thank you. Good afternoon. My first question is regarding your book-to-bill 1.2 fairly strong. Just wondering if there were any pull ins because of tariff uncertainty.
Bruce McClelland: Hey Dave. No, I don't think we saw any strong evidence of that. Bookings were pretty consistent across the quarter and really spread pretty evenly between the businesses and geographies. So nothing that I would flag directly associated with trying to pull in equipment early or anything like that.
Dave Kang: Okay. And regarding the tariff situation, just wondering what your customers are telling you regarding assuming, third quarter, if reciprocal tariffs are back on again, what the plans are as far as your customers versus you picking up that extra cost as well as your suppliers too.
Bruce McClelland: Yes, I guess a few thoughts to kind of expanding on my comments earlier. So far we haven't seen customers indicate changes on their strategy or their plans for the year at this point in time. And I think you've seen a lot of the public commentary through the earnings calls that most of the service providers are not expecting significant impacts to their business from this. In the case of our business, of course, we're in a couple different areas of their operation. A lot of what we're selling is software and services in many cases, which don't have an impact really at all from a tariff perspective, kind of immediately associated with it. And then the products that we are manufacturing internationally, some of them coming out of Mexico that are subject to the U.S. Free Trade Agreement and really exempt at this point. Others coming out of Asia where we've been working with our manufacturers to mitigate the cost, share some of the expense, and expect that anything that we have to pass on to customers is relatively modest at this stage given the current situation at least anyway.
Dave Kang: Got it. And my last question is just wondering if you can provide an update on AT&T's Neptune RAMP I guess it's still early and also wondering if you got any wins or should we expect any wins this year.
Bruce McClelland: Yes. So again, I apologize. I can't comment too much on AT&T's plans, particularly around their voice network. As you know, they've indicated a strategy that they're implementing. And I'll just say we remain a really strategic partner to them and involved in their network deployments. I do think we're going to grow this year in IP Optical in North America. As I mentioned, the progress around rural broadband has been strong. Our first quarter was up considerably year-over-year, and some of the new products we've launched are getting a lot of looks. So I'm pretty bullish on the progress we'll make this year.
Operator: The next question comes from the line of Christian Schwab with Craig-Hallum. Please proceed.
Christian Schwab: Great. Thanks for taking my question. Bruce, can you explain quickly how you benefit as people retire copper in their phone networks here in the United States and that may get more aggressive?
Bruce McClelland: Yes. Hey, Christian. So I think there's kind of two different methodologies, if you will, around copper replacement. One is obviously to move lines or services completely onto a fiber or an IP backbone and eliminate the copper completely. In those cases, we might be involved in the network from a call server perspective or an application server, but on the access side, obviously we're not, as they remove the copper completely, we wouldn't be involved in that. That's kind of the natural attrition of legacy lines. But there's a large installed base that are not migrating. And so there's really a couple different methods to eliminate the copper but still maintain the service. And so in one case, the media gateway or the transition from copper to IP would happen at the central office. And we provide a lot of gateways and then the software that enables that to happen, that's kind of a I'll call it a Verizon strategy around eliminating a lot of the complexity in the core of the network, but maintaining some of the copper local loop. The second approach is to put the media gateways basically right at the edge and preserve basically all of the legacy services that might be implemented at the enterprise and yet be able to eliminate all of the copper, all of the legacy sonnet infrastructure, et cetera, and really simplify the operation of the network. So we're involved in both of those use cases, providing both the software that goes in the core as well as the media gateways that sit at the edge.
Christian Schwab: Great. Thank you. And then I kind of missed it. I apologize. Your Cloud & Edge products business, I think you said what you expected, your growth rates in 2024 -- in 2025 versus 2024 for both Cloud & Edge and IP Optical. Could you repeat that for me, please?
Bruce McClelland: Yes, sure. So as I was kind of going through the guidance section, as we think about the second quarter, at least anyway, we're expecting the Cloud & Edge portion to be up approximately 20% year-over-year. Obviously a pretty strong growth number in the second quarter and continuing that momentum throughout the rest of the year. In the IP Optical segment, we're projecting 5% to 10% growth in the second quarter year-over-year. Again, we are adjusting or having to make up for any of the shipments in Eastern Europe in the second quarter a year ago. So that I'll call it the organic growth rate is higher than that. And just to give you one last stat, as I mentioned, in the first quarter, if you excluded the Eastern Europe revenue, we actually grew 25% year-over-year in the first quarter for IP Optical.
Christian Schwab: Great. Thank you again for that clarity. No other questions. Thanks, guys.
Bruce McClelland: Thanks, Christian.
Operator: The next question comes from the line of Tim Savageaux with Northland Capital Markets. Please proceed.
Tim Savageaux: Okay. Oops. Sorry about that. Can you hear me?
Bruce McClelland: We got you, Tim.
Tim Savageaux: Okay, great. My first question is on Verizon. And just to clarify, although I think these now, they won't be similar, you expect Verizon to move back toward Q4 levels on an absolute dollar basis? Is that what you're -- just want to clarify that.
Bruce McClelland: Yes, correct. Yes, yes, correct.
Tim Savageaux: Okay, great. Well, and I think you've said a couple of times, maybe last quarter and maybe just on this call that, you're sort of still in the process of scaling here with Verizon, and I don't know whether that Q2 guide represents that scaling it may well. But I guess, the overall question is, do you think you can continue to increase revenue with Verizon from that Q2 level in Q3 and Q4?
Bruce McClelland: Yes. I think that's a fairly good planning level for the second half of the year, I'll say, Tim, there are kind of two pieces or two phases to the migrations. The first is getting the equipment procured, installed, commission powered up, kind of ready to go. And then the second piece is actually the migration or the conversion of lines, et cetera. The first part, we can move pretty quickly; on the second part, more complex operation. And so what we're really scaling is that second part, the first part moves pretty quickly the second part, more manual labor involved, got to be careful as you migrate these lines, coordinate with customers, et cetera. And from a revenue perspective, we're able to recognize most of the product revenue kind of upfront as it gets deployed. And then there's a lot of service revenue involved with the actual migration efforts. And so the timing of revenue on that is a little different. So I think we're scaling up the service portion of the revenue, but the product portion will be a little lumpy depending on which quarter we're shipping in and those sorts of things. So it's a long answer to your question, but I think the velocity from a revenue perspective we're at in the second quarter is a nice planning level for the rest of the year. The actual migration rate is going to speed up. And as we look into next year, we're expected to do more next year. So the volume needs to increase as we exit the year and go into next year. It'll be a bigger year. That's without adding in the potential for similar programs at Frontier as that business starts to be operated by Verizon.
Tim Savageaux: Great. And I think you might have given us some metrics about the pace of installation or I don't know if it was a switch a week or something like that or the total that you've done so far, but love it if you might update that. Is that a pace you expect to return to or exceed in Q2 or the second half of the year? Are there other metrics to gauge kind of where we are with Verizon, which still seems fairly early days, but any comment on that as well?
Bruce McClelland: Yes, yes. We definitely have a long pipeline ahead of us here for sure. The metric I mentioned last quarter was basically doing one which migration per week. All of that prep work I talked about that leads up to the migration and then final completion of the switchover when you start to see the cost savings. That's why that's an important milestone is when the cost savings start to benefit the customer. We read one per week as we went through Q4. That velocity came down in the first quarter kind of a natural pause during the holiday season, et cetera. And then we're back at that rate. Again at this point and we basically want to try and double that migration rate as the year progresses that's where we'd like to be.
Tim Savageaux: Okay, great. And then another question over on the Optical side, and it looks like we've seen from some of your larger competitors that and even similar sized that by and large inventories of carriers have sort of burned off and we're starting to see growth again in Optical transport in the broader service provider universe. I wonder if you and I know you've got some one-offs here on the compares, but I wonder if you have any observations on that front on the one hand and then anything incremental on what you're seeing out of opportunities stemming from Nokia, Infinera or any overall commentary on Tier 1 carrier pipeline and IP Optical. That's it for me.
Bruce McClelland: Yes, great. Thanks, Tim. So from a -- I'll call from a geographical perspective or regional perspective. We've seen good growth continue to see that here in the second quarter in several regions. India I call out, obviously that's a strong market for us and continues to be a good growth area. Part of that's with Vodafone Idea coming back and investing in the network. But as I mentioned, I think we had our best quarter ever since acquiring ECI five years ago here in the first quarter in India. So that was very strong. The second region that continues to be a strong contributor is the rest of Asia-PAC or Southeast Asia. In fact, I was just in the Philippines and in Taiwan back a few weeks ago, we had a nice announcement in the Philippines with Converge, one of our key customers there, building out a nationwide fiber backbone that's serving both their internal needs as well as data center interconnectivity as well as the launch of Starlink in the region and supporting their downlink stations. So that's a great example of growth for us with a major operator in that region. That region also tends to be the area we're seeing the most opportunities. I think from a Nokia, Infinera integration perspective, we're a great, I'll call it Western alternative in the region and they're looking for alternatives as that integration happens and so good momentum in particular competitively there. The third region I'll mention that we had good growth in the first quarter again was in the U.S. domestic market here year-over-year growth that was very strong. And that, that today is with I'll call it the regional or rural operators building out broadband infrastructure. It's also with the interconnect carriers that are basically replacing legacy TDM networks could be copper, it could be SONET networks, P networks and then using our routing platform as that circuit emulation capability. And so we've been growing pretty nicely in that mid-market, if you will, in the U.S. around our IP routing platforms.
Operator: The next question comes from the line of Rustam Kanga with Citizens. Please proceed.
Rustam Kanga: Good afternoon. Thank you for taking the question. Just touching on the recent launch of the NPT 2714 and broader enhancements to the IP Optical portfolio. Could you help qualify the early customer reception there and do you expect that to be a meaningful contributor in the back half of the year?
Bruce McClelland: Yes. Hey, great question. So we launched the product at Mobile World Congress in February and then also highlighted it at the OFC Conference here recently where we won an award with it. It's pretty strategic for us. It basically is the metro core router. It's the highest capacity, densest platform that we've got in the portfolio and it allows us to expand from just the access layer, aggregation layer, where we have a lot of business today into the more the core of the network. So one, it allows us to provide a complete end-to-end solution with customers that are building out a metro IP network. And two and it allows us more strategically to be further in the network so not just at the access layer but really in the core. So it's a pretty important element of being able to provide a fulsome kind of complete solution to customers. It's committed already with a variety of customers that are building out the access layer and then want to insert the core router next step of their network upgrade. So good pipeline, good opportunities. I think it's a next class product for us that really moves us beyond the access layer. So yes, pretty important.
Rustam Kanga: That's fantastic. Thank you for that color. Just one more for me regarding the Converge expansion. Could you talk a bit about what that does for the performance and optimization of that regional network and maybe how that deployment impacts kind of your share within APAC and perhaps touching on the vendor consolidation and elimination of the Chinese parts that you've mentioned in your prepared remarks?
Bruce McClelland: Yes, great question. Thank you. So the Philippines region is pretty strategic for us. In fact, we service a lot of Southeast Asia out of the Philippines. It's our kind of our central headquarters in the region for technical support and sales. In the country itself, we're doing business with really I think four of the top five service providers and so have built a good reputation in the region. This new network is being built as basically an overlay to the current network and it's being built completely with Western providers to make it as they provide services to large hyperscalers or regional cloud providers. There's no concern over having Chinese equipment in that network. And so it's a deliberate decision to build a new network with a partner and expand their reach in the region. So it's a great reference point for us. Other countries were pretty active with as well. We mentioned a win with Moratel in the region. In that case, we're putting a new subsea cable in 20 terabytes of additional capacity into the island. So that was a very nice win. And then other countries such as Taiwan, Vietnam were all active in today with new wins in the last three months. So getting a lot of focus from us. The reason I did a trip over to spend time with customers and really grow our presence in the region. The last country I'll mention that's strategic for us in the region is Japan. We've had a long history and kind of presence there with our Cloud & Edge portfolio. And then we've been able to cross-sell and build into some of these networks from an IP and Optical perspective into names like Sony and SoftBank and those sorts of names. So it's a strategic area for us to grow in the Asia-PAC region as well. So great. Appreciate all the questions.
Operator: Thank you. This concludes the question-and-answer session. Now I'd like to turn the call back to Bruce McClelland for closing remarks.
Bruce McClelland: Okay, great. Well, thanks very much. Thanks for being on the call and the interest in Ribbon. We really look forward to meeting with many of you in the upcoming investor conferences over the next few months and keeping you updated on our progress. Operator, thanks to you as well and that concludes our call.
Operator: Thank you. This concludes today's conference. You may now disconnect your lines at this time. Enjoy the rest of your day.